Operator: Good day, and thank you for standing by. Welcome to the Q1 2026 Quanex Building Products Corporation Earnings Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today's conference is being recorded. After the speakers' presentation, there will be a question-and-answer session. To ask a question, please press 11 on your telephone, and wait for your name to be announced. To withdraw your question, please press 11 again. I would now like to hand the conference over to your speaker today, Scott Zuehlke, Senior Vice President, CFO and Treasurer. Thanks for joining the call this morning.
Scott Zuehlke: On the call with me today is George Wilson, our Chairman, President and CEO. This conference call will contain forward-looking statements and some discussion of non-GAAP measures. Forward-looking statements and guidance discussed on this call and in our earnings release are based on current expectations. Actual results or events may differ materially from such statements and guidance, and Quanex Building Products Corporation undertakes no obligation to update or revise any forward-looking statement to reflect new information or events. For a more detailed description of our forward-looking statement disclaimer and a reconciliation of non-GAAP measures to the most directly comparable GAAP measures, please see our earnings release issued yesterday and posted to our website. I will now turn the call over to George for his prepared remarks.
George Wilson: Thanks, Scott, and good morning to everyone on the call. Before beginning my commentary on our first quarter results, I would like to take a moment to recognize and thank Susan Davis for her many years of dedicated service as a Board member to Quanex Building Products Corporation and its shareholders. Her commitment, insight, and guidance have been invaluable to our organization. Susan consistently served as a steadfast voice for shareholders during our transformation from a metals company to a pure-play building products company and through three CEO transitions and several acquisitions. Her perspective and presence in the boardroom made a meaningful impact, and she will be greatly missed. On behalf of the board and the entire organization, we wish her all the best in her retirement. Turning now to our fiscal first quarter, market conditions remained soft and company performance was in line with our expectations. As is typical given the seasonality of our business, the first quarter is our most challenging from a volume standpoint. The holidays, coupled with the onset of winter weather, consistently create headwinds in our Q1, and this year was no exception. From a broader perspective, challenges in the global macroeconomic environment and the markets we serve continued to impact results. The most significant challenge continues to be end consumer confidence. While inflationary pressures, labor costs, and certain raw material costs have started to moderate, energy prices have risen. In addition, heightened geopolitical tensions, particularly in recent days, are contributing to a more cautious consumer environment worldwide. Despite the near-term headwinds, the longer-term underlying fundamentals for the residential housing sector remain constructive. In addition, inflation appears to be stabilizing, and there is an increasing expectation of additional rate cuts from the Federal Reserve this year. We continue to believe the structural drivers supporting both new construction and the repair and replacement markets remain intact. At this time, we do not anticipate a deeper downturn in the end markets we serve. In Europe, economic data from third-party sources point to early signs of stabilization and gradual recovery across most countries, which we view as an encouraging development as we look ahead. Now turning to our performance in 2026. In the Hardware Solutions segment, our focus is centered on two key priorities: stabilizing operational performance and strengthening our commercial organization, including the finalization of go-to-market strategies across our international markets. As previously disclosed last year, we identified an operational issue at our hardware facility in Monterrey, Mexico that required some incremental capital to remediate. We are pleased to report that our efforts have advanced to the point where we believe the plant is now stable, and we do not expect to provide updates on this matter going forward. Within the Extruded Solutions segment, our focus has been on advancing new product development initiatives, evaluating adjacent market opportunities, and relaunching and repositioning our Schlagel product lines. We are very encouraged by the progress being made across each of these areas as they are central to achieving our profitable growth objectives. These initiatives are expected to strengthen our competitive positioning and expand our addressable market over time. I anticipate being able to share additional details on new product launches and commercialization milestones later in the year. In the Custom Solutions segment, we continue to advance several initiatives designed to support future growth. More specifically, in our cabinet components operation, the primary focus has been on driving operational efficiencies to successfully integrate recent market share gains and ensure that we scale effectively. Within our access solutions operations, efforts have centered on optimizing operating methods to enhance process consistency, quality, and on-time delivery. And in our mixing and compounding operations, we remain focused on new products and chemistry development. These initiatives are enabling us to expand into adjacent markets that demand highly engineered solutions supported by strong technical expertise and service. Together, these efforts position the Custom Solutions segment to deliver improved performance while building a stronger foundation for sustainable growth. Looking at our corporate functions, our newly created commercial and operational excellence teams are now focused on new market development, the creation of global pricing strategies, logistics and sourcing projects to drive savings, ongoing ERP rationalization, and AI-led process improvements. We believe these efforts will produce the results needed for revenue growth, margin expansion, cash flow generation, and improved return on invested capital. From a capital allocation perspective, we will continue to focus on maintaining a healthy balance sheet through disciplined debt reduction. And looking ahead from a growth standpoint, we will focus on driving organic initiatives while pursuing targeted small bolt-on acquisitions, if available, that complement our existing platforms and capabilities. The outcome of these actions will be a stronger, more flexible balance sheet that is well positioned to support our long-term growth opportunities and strategic objectives. I will now turn the call over to Scott, who will discuss our financial results in more detail.
Scott Zuehlke: Thanks, George. On a consolidated basis, we reported net sales of $409,100,000 during the first quarter of 2026, which represents an increase of approximately 2.3% compared to $400,000,000 for the same period of 2025. The increase was mainly due to foreign exchange translation and the pass-through of tariffs. We reported a net loss of $4,100,000, or $0.09 per diluted share, during the three months ended 01/31/2026, compared to a net loss of $14,900,000, or $0.32 per diluted share, during the three months ended 01/31/2025. On an adjusted basis, we reported a net loss of $300,000, or $0.01 per diluted share, during 2026, compared to net income of $9,000,000, or $0.19 per diluted share, during 2025. Adjustments being made to EPS are primarily for transaction and advisory fees, amortization of the step-up for purchase price adjustments on inventory, restructuring charges, amortization expense related to intangible assets, and foreign currency impact. On an adjusted basis, EBITDA for the quarter was $27,400,000, compared to $38,500,000 during the same period of last year. The decrease in adjusted earnings for 2026 compared to 2025 was mainly due to reduced operating leverage from lower volumes related to ongoing macroeconomic uncertainty coupled with low consumer confidence and higher but temporary operational costs related to our hardware plant in Monterrey, Mexico. Now for results by operating segment. We generated net sales of $189,100,000 in our Hardware Solutions segment for 2026, an increase of 2.4% compared to $184,700,000 in 2025. We estimate that volumes were down 3.6%, pricing was up 0.5%, the tariff impact was about 3.2%, and foreign exchange translation was a benefit of about 2.3%. Adjusted EBITDA was $4,500,000 in this segment for the first quarter, compared to $8,200,000 in the same period of last year, mainly due to decreased operating leverage related to lower volume, general inflation, and approximately $3,000,000 of incremental costs related to our hardware plant in Monterrey, Mexico. As George mentioned, we believe this plant is now stable. Our Extruded Solutions segment generated revenue of $139,000,000 in the first quarter, essentially flat compared to $139,600,000 in 2025. We estimate that volumes were down 2.6% year over year in this segment for the quarter, with pricing up slightly by 0.3%, and a positive foreign exchange translation impact of about 2.4%. Adjusted EBITDA declined to $20,900,000 in this segment for the quarter, versus $24,000,000 during the same period of last year, mainly due to decreased operating leverage related to lower volumes and general inflationary pressure. We reported net sales of $89,100,000 in our Custom Solutions segment during the quarter, which represented growth of 4.8% compared to prior year. We estimate that volumes were up 2.4%, pricing decreased by 2% in this segment for the quarter, and foreign exchange translation coupled with the pass-through of tariffs was a benefit of approximately 0.5%. Adjusted EBITDA declined to $4,600,000 from $6,300,000 in this segment for the quarter, mostly due to general inflation and higher SG&A. Moving on to the cash flow and the balance sheet, cash used by operating activities was $20,200,000 for 2026, which compares to $12,500,000 for 2025. Free cash flow was negative $31,500,000 in 2026 compared to negative $24,100,000 in 2025. Keep in mind that the first quarter of our fiscal year is usually the low watermark for the year due to the seasonality of our business. On a related note, we have historically been a net borrower in the first quarter of our fiscal year, but with the addition of Tyman and their longer cash conversion cycle, we now expect to be a net borrower during the first half of each fiscal year, with the majority of our cash flow generated in the second half. Our liquidity was $331,600,000 as of 01/31/2026, consisting of $62,300,000 in cash on hand plus availability under our senior secured revolving credit facility due 2029, less letters of credit outstanding. As of 01/31/2026, our leverage ratio of net debt to last twelve months adjusted EBITDA was 2.8 times. We do expect our leverage ratio to increase slightly in Q2, but we also believe we will exit 2026 with a net leverage ratio closer to 2.0 times as we generate cash and repay debt in the second half. As George mentioned in our earnings release, our long-term view continues to be favorable as the underlying fundamentals for the residential housing market remain positive. While we entered fiscal 2026 with a cautious outlook due to the ongoing macroeconomic challenges, we remain somewhat cautious in light of the geopolitical events now occurring. We are optimistic that demand for our products will improve as consumer confidence is restored over time. We are monitoring the situation in the Middle East, which could have an impact on customer demand, raw materials pricing, and shipping rates for our international hardware business, but as of now, we are comfortable with providing guidance for fiscal 2026. During our last earnings call in December, we mentioned that fiscal 2026 could be somewhat flat compared to fiscal 2025, with puts and takes, but that the first half of 2026 may be more challenged than 2025, implying a somewhat improved second half year over year. Our current views remain consistent with that message. Overall, on a consolidated basis for fiscal 2026, we estimate that we will generate net sales of $1,840,000,000 to $1,870,000,000, which we expect will yield approximately $240,000,000 to $245,000,000 in adjusted EBITDA. In addition, the following modeling assumptions should be reasonable for the full year 2026: gross margin of 28% to 28.5%; SG&A of $295,000,000 to $300,000,000, which reflects bonus accrual at target; D&A of $105,000,000 to $110,000,000; adjusted D&A, excluding intangible amortization, of $65,000,000 to $70,000,000, which should be used to calculate adjusted EPS; interest expense of $50,000,000; a tax rate of about 24%; CapEx of $70,000,000 to $75,000,000; and free cash flow of approximately $100,000,000. As always, we will stay focused throughout the year on the things that we can control, with an emphasis on generating cash to continue paying down debt. Please use the following cadence for fiscal 2026 versus fiscal 2025: on a consolidated basis, we expect revenue to be up 12% to 14% in 2026 compared to 2025. Adjusted EBITDA margin, again on a consolidated basis, is expected to be up 500 to 550 basis points in 2026 compared to 2025. Operator, we are now ready to take questions.
Operator: Thank you. As a reminder, to ask a question, please press 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again.
George Wilson: One moment for questions.
Operator: And our first question comes from Kevin Gainey with Thompson Davis and Company. You may proceed.
Kevin Gainey: Hey, George, Scott. Good morning. It is Kevin. Morning. For Adam. Yep. Maybe to start, if you could break out how the Extruded Solutions segment did. Margins in that segment were much higher than what we expected. Maybe you can talk about what drove the margin improvement there?
Scott Zuehlke: Well, in general, I would say that the Extruded Solutions segment, the products that are included in that segment, have historically been our most profitable products. So you have things like the IG spacer, you have our vinyl profile business in the UK, which is called Liniar. Those have historically been very profitable businesses for us and continue to be.
George Wilson: I think you would see the operating model within that segment too tends to revolve around larger, more levered plants. So, you know, fewer sites, tends to be less fixed cost, which drives margin in that product line. Again, I think part of the reasoning for the resegmenting too is to give our investor base a little more clear look into each of these different segments and what product lines are actually contributing what. So, you know, we know that this is new, a new perspective for you and others, but this has been very consistent for us throughout our whole period of having these products.
Kevin Gainey: Sounds good. Appreciate the color on that. And then maybe if you could talk on the Custom Solutions segment as well and maybe what drove the strongest year-over-year revenue growth in that.
George Wilson: You know, one of the bright spots with tariffs and just some of the macroeconomic environment has been in our cabinet components and our wood components business. We have been able to secure some new market share as people have insourced product from overseas, consolidated their facilities, and have outsourced that product, and our team has done a very good job of being able to show the value that we can create for our base in providing a wide array of products just in time as they need it, minimizing their working capital needs, and allowing us to do what we do well. So that really drove some revenue growth in what has really been a soft market, but that has been a bright spot for us on revenue. And our focus in that segment now is actually we are kind of in hiring mode in some of those plants to be able to make sure that we have the capacity and the ability to satisfy demand once the seasonal uptick does occur. But we have been very happy with the performance and what our team is doing there to show our value to our customers.
Kevin Gainey: That sounds good. And then maybe, I know recently the builder show was done recently. Is there any takeaways that you could have from that? What maybe the sentiment was or optimism going into the year?
George Wilson: You know, the show was well attended, which I think everyone would agree on. I think that there is guarded optimism. You know, there are a lot of moving pieces in everything in the world right now. You have now the geopolitical issues in Iran, and what is going on there, the potential push on inflation. You have the political climate in the US. Just a lot of moving pieces. So I think what we have heard is that, without a fault, everyone believes in the long-term view and the optimism that exists in the housing market, like we mentioned in this earnings call, that the indicators are there that housing is in demand, and there is pent-up demand that will be released at some point. It is just, I think, the feel of the show is when is that going to happen and what needs to make it happen to give the end consumer some confidence, whether it is a relief on some energy pricing, whether it is Fed movement, whether it is a couple more data points on inflation, or all of the above. So long answer to what should have been: guarded optimism.
Kevin Gainey: Sounds good, George. Thank you, guys. Thanks. I will turn it over. Thank you.
Operator: Our next question comes from Julio Romero with Sidoti and Company. You may proceed.
Julio Romero: Good morning, George. Good morning. Your guidance implies the remaining nine months of the year is going to see flattish sales year over year but see some year-over-year margin expansion, about 70 to 80 basis points across the remaining nine months. Based on that Q2 cadence you stated earlier, that definitely implies it will be back-half weighted. If you could just talk about the cadence of that margin expansion between the third and fourth quarters, the expected? And then secondly, maybe just where across the portfolio you would see that margin lift?
Scott Zuehlke: Good question. I think the main driver for the second half of 2026 versus the second half of 2025, if you recall, the issues we had in Monterrey impacted EBITDA by, I think, $13,000,000 in the second half of last year. We consider that plant stable; we should not see that impact in the second half of this year. So that alone is going to drive most of the margin expansion.
George Wilson: That is obviously in our Hardware segment.
Julio Romero: Yep. Good reminder, and congrats on completing that Monterrey issue. My second question is just on trying to better understand how much longer Tyman legacy Tyman extends the cash conversion cycle versus legacy Quanex, and then related to that, you mentioned capital allocation remains debt repurchase remains your key priority there. Just how are you thinking about debt pay down in the back half? Thank you.
Scott Zuehlke: From a cash conversion standpoint, historically, Quanex was 45 to 60 days cash conversion. Tyman, legacy Tyman, was double that. So while we have made some progress in getting Tyman more towards the made-to-order versus a made-to-stock, that takes time. And there are certain pieces of that business that will never move to a made-to-order because it is more distribution. But I think what you will see from us really over the next probably two to three years is a significant improvement in getting that cash conversion cycle for the legacy Tyman business down, which will obviously impact cash flow positively.
George Wilson: There are obviously multiple projects that we have identified to make that change, and I feel very comfortable where we are at in that progress, and more to come. But I think the softness in the market has allowed us to focus on the things that we need to do integration-wise and that we knew we needed to do, and I am very pleased with where we are at at that point.
Scott Zuehlke: And then as far as the debt pay down, clearly it is our priority, especially given the macro backdrop here. We do feel like there is shareholder value creation if we can get that leverage or net ratio down closer to 2 and even below 2 over the next couple years for sure. So that is our focus.
George Wilson: Makes sense.
Julio Romero: Thanks very much.
Operator: And as a reminder, to ask a— Our next question comes from Steven Ramsey with Thompson Research Group. You may proceed.
Steven Ramsey: Hey. Good morning, everyone, and thanks for taking my questions. I wanted to look at spacers within the Extruded segment. Solid double-digit growth in the quarter and a good product category for quite some time. A couple of questions there. What were the drivers of growth within the quarter? And do you think spacers is a growth product in FY 2026? And then can you talk about the margin profile of that product relative to the segment in 2026?
George Wilson: I will split my answers. I think the driver in the growth of all spacer markets, but especially our product lines that Quanex Building Products Corporation offers, is definitely being driven by the demand, and some of it code-related, on the performance, the thermal performance of windows. So as energy costs go up, you are able to justify the replacement of windows with higher-performing thermal windows, whether it is keeping warm air in the northern climates or better keeping the cold air in where we air condition. As we see migration from single-pane to double-pane windows, double-pane to triple-pane in some areas, that is driving an increase in volume demand, which lends itself well. And as codes and standards change to demand higher-performing, thermally performing windows, that falls right in line with the products that we offer at Quanex Building Products Corporation. So we do believe it has the potential to be a growth driver in 2026 and, to be honest, further years as that continues to take hold. Consumers are changing, energy costs are becoming a bigger part of the world, and these types of products are going to be demanded more, and we feel very good about that as a leading product in our portfolio. In terms of the breakout of profitability within the segment or even getting into any more granularity, we have not and cannot, for obvious reasons, provide any breakout there. We just have not provided that publicly.
Steven Ramsey: Okay. Fair enough, and good color. You have talked about bundling being an opportunity for you over time with the Tyman integration going to market. In a tough backdrop, can you talk about if this is happening in any product sets or segments right now, or do you need a better demand backdrop to really see bundling become an opportunity?
George Wilson: It is a great question. I think we are seeing it. We have started the development of that. It has been slow to take hold for two reasons. One is the macro backdrop. Obviously, volume helps any sort of bundling or incentive package regardless of what you are doing. The second one is, it is really hard to go to your customers and try to offer advantages of bundling when you have a product line that was not performing because of some operational issues. It is just a core fundamental for us that I have to have my house in order before I can offer those types of incentives as a valuable supplier. So I am not going to insult my customer base by trying to push incentives when I need to better improve operational performance. We are at that point. I feel really good at what we have done to protect our customers in something that was unforeseen. There will be a time and a place in the near future where we can have those conversations and give our customers opportunity to share in the benefits of what we provide. We were not there a year ago, and we are just getting to that point now.
Steven Ramsey: Okay. That is helpful to hear. Last one for me. Cabinet wood components being a good story right now, and this was a segment that I pondered would potentially be a strategic value to someone else and maybe not core to Quanex Building Products Corporation. With the recent success, does this change the potential of this segment staying within the company and being a profit driver in the next couple of years?
George Wilson: We are happy with what the segment is doing. We operate under a philosophy that, as a public company, I think everyone is this way. We are going to drive our product lines and our segments to perform the best they can to create as much shareholder value as we can, whether they are in the portfolio. The reality is every segment is potentially for sale every day. So you never say never, but we are extremely happy with what that group has done. I think that they are driving value for us, and I am pleased with their performance. I cannot give you any more of a clear answer because everything every day is always a negotiation.
Steven Ramsey: Sure. Thanks for the color.
Operator: I would now like to turn the call back over to George Wilson for any closing remarks.
George Wilson: Thanks for joining the call today, and we look forward to providing our update in June. Thank you very much.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.